Operator: Good evening. This is the Chorus Call conference operator. Welcome, and thank you for joining the Moncler Group First Half 2025 Financial Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Ms. Elena Mariani, Group Strategic Planning and Investor Relations Director. Please go ahead, madam.
Elena Mariani: Good evening, everybody, and thank you for joining our call today on Moncler Group's first half 2025 financial results. As usual, let me introduce you to the speakers of today's call. Besides myself, you have Luciano Santel, Chief Corporate and Supply Officer; Roberto Eggs, Chief Business Strategy and Global Market Officer; and Gino Fisanotti, Moncler's Chief Brand Officer. Before starting, I need to remind you that this presentation may contain certain statements that are neither reported financial results nor other historical information. Any forward-looking statements are based on group's current expectations and projections about future events. By their nature, forward-looking statements are subject to risks, uncertainties and other factors that could cause results to differ even materially from those expressed in or implied by these statements, many of which are beyond the ability of the group to control or estimate. Let me also highlight that given the nature of our business, interim results can be influenced by seasonal effects and therefore, cannot be taken as a proxy for full year trends or results. Finally, I remind you that the press has been invited to participate to this conference in a listen-only mode. So before handing it over to Gino, let me just present the key highlights of today's results on Page 4. Group revenues in the first half of the year were EUR 1.226 billion, up 1% at constant FX, with the Moncler brand up 1% and the Stone Island brand down 1%. The group also reached an EBIT of EUR 225 million with a margin of 18.3%. Net result was EUR 153.5 million, and our net cash position at the end of June was EUR 981 million compared to EUR 846 million in June 2024. Let me now hand it over to Gino for the key highlights of the Moncler brand in the second quarter. So Gino, over to you.
Gino Fisanotti: Thank you, Elena, and hello to everyone. Good afternoon. For the Moncler brand, I would say there was another busy quarter for the brand. And I will say we keep a strong focus on our key strategic priorities. Moncler Collection and Moncler Genius and Moncler Grenoble within this, just a few highlights and a few words on what happened in the second quarter of the year. I would say the first comment is on Moncler first, a first-ever participation of the brand in New York City in Met Gala and this was in collaboration with Edward Enninful who is part of our Genius and a Collection that is coming later this year. So we have been able to participate there. And of course, this create a new kind of, I would say, a new moment for the brand and a strong brand awareness and impact across the board. Then when we talk about Genius, we have 2 deliveries during this quarter, 1 at the beginning of the quarter in April with the launch of the Moncler Genius by Mercedes-Benz defined by NIGO. This was launched in New York City at the only brand have that Mercedes- Benz host in the world in Manhattan. And this collection was extremely well received. The performance was really good not only in Asia but globally. And then just less than 20 days ago, we have the opportunity to present and to launch the very first ready-to-wear collection designed by Donald Glover. So this was another important milestone for the brand on the back of 1% at the end of last year in China. And again, as probably you will able to see even Donald Glover took part of this campaign itself, which is another first as well for us. So this was another important launch for the brand this quarter. Then I will say that probably the next 2 executions are connected by one thing, which is start or keep building our foundation towards our summer business and our summer opportunity, I would say. The first 1 is around Moncler Collection. And the second was the second delivery of Moncler Grenoble coming in mid-May this year. And again, this has to do with the idea as we mentioned before, to keep building a foundation towards our, I would say, not future but the immediate future about keep building a strong restaurants as a brand and becoming only around brand when we comes about the seasonality of Moncler. Then last but not least, we went to New York at the beginning of June, where we were able to present our full winter '25 lineup on footwear to some selected press and, of course, key personalities. And I think there was the first time we introduced some new styles, some of them coming from the Genius Collection and then a new family called Altive and Altive boot which is a new product that will be coming later in September this year and then a brand new style called the Trailgrip low profile that was the 1 that gets play the biggest amount of coverage and impact from the people attending that something that will come later this year as well. So with that, a very quick overview of another busy quarter, and I will let Roberto now talk a bit about the busy quarter of Stone Island.
Roberto Eggs: Gino, and good afternoon to everybody. Let me drive you through some of the initiatives that we want to highlight regarding the Stone Island brand. The first one is our present during Milan Design Week as part of the ongoing Sound music platform that the brand has introduced the Studio One, which is an immersive sonic experience. The project involved a week long cultural program encompassing series of live music session, DJ sets and conversation that have been having a great success. The second initiative is in the context of Chapter 3, what we call our branded campaign community as a form of research. We had the opportunity to feature Gene Gallagher wearing Tela Resinata Black Color jacket. Tela Resinata takes inspiration from the resin treated tela version of the first Stone Island collection. So really something that is coming back to the very origin of the brand. The third initiative was the introduction of the Autumn Winter 2025, 2026 collection with Raw Beauty, a project that continues the brand ongoing commitment to material research and innovation and the campaign was featuring Carmelo Anthony. And the last by coincidental last also initiative for Stone Island was also regarding footwear, and it was the Stone Island, New Balance collaboration that continues -- and this, for the first time, since the beginning of this long-term partnership, the collaboration extended into the New Balance Numeric skateboarding line with the Numeric 272 something that was expected by the [ fan ]of both brands. If we move to Page 7, we'll drive you through the results of Moncler by geography. H1 2025, the Moncler brand revenues reached EUR 1.039 billion, which is a plus 1% versus H1 2024 at constant FX rate. Q2 revenues were down 2% year-on-year, mainly due to a sequential slowdown in the D2C channel, reflecting challenging macroeconomic conditions globally. Asia, which includes for us Asia Pacific, Japan and Korea was flat in Q2 year-on-year, decelerating versus Q1, mostly due to a soft tourist flow mainly in Japan. Korea slightly improved sequentially, supported by stronger tourism, while China and rest of Asia held up versus the previous quarter. EMEA revenues were down 8% in Q2 year-on-year, mainly due to a slowdown in tourist flows across the region. Just as a reminder, Q2 and Q3 are the quarter with the highest penetration of tourism usually in Europe. The Americas was up 5% in Q2 year-on-year, accelerating versus Q1, mainly thanks to sequential improvement registered in the D2C channel. On Page 8, we can look at the Moncler revenues by channel. The D2C revenue rose for Moncler to EUR 883.2 million in H1, which is a plus 2% versus H1 2024. Comp sales were at minus 4% in H1. In Q2, D2C revenues were down 1% year-on-year due to challenging macroeconomic environment, affecting consumer confidence and the deceleration in touristic flows particularly affecting EMEA and Japan, while revenues in the Americas accelerated sequentially. Wholesale revenues reached EUR 155.8 million in H1, down 6% versus 2024. In Q2, revenues of this channel declined by 6% as planned, mainly due to ongoing efforts to upgrade the quality of the distribution network of our wholesale distribution. On Page 9, the revenues by geography for Stone Island. H1 Stone Island revenues reached EUR 186.7 million, which is a minus 1 versus 2024. Q2 revenues were up 6% year-on-year, with the D2C channel maintaining solid growth and wholesale channel improving versus Q1. Asia, which includes Asia Pacific, Japan and Korea like for Moncler was up 13% year-on-year, mainly driven by the continued solid performance of China and Japan. EMEA revenues were up 5% in Q2 thanks to the sequential improvement of the wholesale channel in the -- in the largest region. The Americas was down 11% in Q2. On Page 10, the Stone Island revenues by channel. Stone Island D2C revenues rose to EUR 99.1 million, which is a plus 8% versus 2024. In Q2, revenues for this channel were up 3%, marking a deceleration from the previous quarter amid the general and more challenging global operating environment. Asia outperformed the other regions. Wholesale revenues reached EUR 87.6 million, which is minus 9% versus H1 2024. In Q2, revenues of this channel showed substantial improvement due to a different deliveries timing versus Q1. So we were able to grow 9% on this -- on this channel. Finally, on Page 11, regarding the evolution of the Moncler and the Stone Island network. We have had 3 net openings for Moncler, 1 in Philadelphia, King of Prussia, so in the U.S., in [ Occhiali ]with the opening of our second store in Westfield, a flagship store that was opened at the end of May. And finally, a conversion, Chongqing Airport from wholesale to retail, but that took place at the very end of June. Regarding Stone Island, one net opening. We have started the restructuring of our distribution in Korea with 2 closures, 1 in Seoul Galleria and the other one in Busan [indiscernible ]. And we had 3 net openings, 3 additional openings, Euro street,Hangzhou in China, El Corte Inglés in Puerto Banús and the opening of Barcelona. If you look at Page 12, you see the opening which of South Coast Plaza, which is a store that was already existing that we relocated and we expanded. We now have a flagship store in South Coast Plaza store that has been performing very well since the launch at the end of May. On Page 13, you see the flagship I was referring to with 300 square meter that we have in Sydney within the Westfield departments or just in front of CHANEL. And finally, for Stone Island, on Page 14, you saw that we just recently opened in Hangzhou. Luciano, the floor is yours.
Luciano Santel: Okay. Thank you, Roberto, and good afternoon, everybody. Thank you in our call today. We are now at Page 15, where we report as usual our profit and loss for the period that shows an operating margin of 18.3%, behind the 21% we reported last year, but less than it seems if we consider the higher marketing spending, 9.6% versus the 8% we spent last year, but still in line with the 7% we plan to spend for the year-end like last year. And the extraordinary income we reported last year for EUR 7.5 million related to an insurance refund. So all in all, fairly well, not much lower than last year. Other numbers of the slides are quite set explanatory. So I will not give you any comment. But of course, I'm very happy to answer any questions you may have on the other numbers. Let's move now to Page 16, where we report CapEx. CapEx for the period are higher than last year, still equally distributed between distribution investments and infrastructure, higher than last year because of anticipation of some projects, but also because we are spending this year a significant amount of money in the new corporate head quarters. And for this reason, we expect for the year-end in incidence of our CapEx closer to 7%, then the higher than the 6% that we reported last year end of the year before. For 2026, we expect to go back to 6%. Next page, net working capital, 9%, slightly higher than last year, but still a healthy working capital, very good very strong credit control and very efficient inventory management, nothing to add. Next page, Page 18, net financial position that shows a net cash position of EUR 981 million after a dividend distribution of EUR 345 million. Still better, significantly better than last year. Balance sheet, Page 19, nothing to comment. Page 20, cash flow statement. Just a remind of the comment we reported in the slide, free cash flow, EUR 15 million behind last year, but we spent this year EUR 70 million in June for taxes that last year due to a different holiday timing was spent July 1. All the other numbers quite explanatory. So again, ready and happy to answer any questions. But now we are done with the presentation, and ready to answer your question. Thank you.
Elena Mariani: Yes, we will now hand it over to the operator for your questions. I kindly ask you to stick to a maximum of 2 questions per person, if possible, to give all participants the opportunity to ask a question. Operator, you can now open the Q&A session. Thank you.
Operator: [Operator Instructions] First question is from Anne-Laure Bismuth, HSBC.
Anne-Laure Bismuth: I will stick to 2 questions rule. So the first 1 is on the performance by nationality. Will it be possible to give us some granularity about the performance by main measurement the Moncler brand in Q2? And my second question is about the performance in Japan. So Asia Pacific was softer due to a weak performance in Japan. Would it be possible to give us the exact performance in Japan for the Moncler brand in Q2.
Roberto Eggs: Roberto speaking. Happy to answer to your first question regarding the performance by nationality. So as I explained, when talking about the Moncler performance by region, we've seen a positive performance for the U.S. So our cluster on the Americas was positive. It was mainly a local consumption that we have had with the Americans, much less Americans coming -- coming to Europe, still present, but not as much as the year before. Regarding the Asian, let's say, performance the performance in -- of the Chinese was positive in China with a cluster that was flattish. So much less consumption of Chinese in Europe, especially and in Japan. Korean were below the average performance of the nationalities and the locals in Europe were flattish. So what has been the main driver of the D2C performance during the quarter is the lack or the decrease that we have seen in tourism mainly from Korean and Chinese and, to a lesser extent, Americas also a little bit less present in Europe. Regarding the performance in Asia, the performance of Korea was helped by a return of some tourism from China. You know that this decreased a lot in the past year. So we have seen small recovery of Chinese -- so they were positive on the Korean market, while there were negative in Japan mainly due to a currency evolution that was in a way we have seen the Yen going up, Renminbi going down. So the price gap that was existing till the end of 2024 was not relevant enough to push Chinese to come and buy luxury goods at least not Moncler during the quarter.
Anne-Laure Bismuth: Thank you very much for that. Yes, we have seen some competitors have started to report some numbers and we have seen, for instance, not on the same business, but Japan being down in the middle of that...
Roberto Eggs: You know that usually, we don't report the figures for Japan separately. So just take it as a negative figure mainly driven by negative South Asian and the Chinese that decreased in Japan.
Elena Mariani: Maybe one thing that we can say that is helpful is that the other parts of Asia were not negative. So it was the only country in Asia that was negative, Japan.
Operator: Next question is from Chiara Battistini, JPMorgan.
Chiara Battistini: My first question is on the Americas acceleration. I was wondering if you could share a bit more on what the drivers were behind that. Do you think there was sort of anticipation of spend ahead of price increases, repatriation from the tourists are now in Europe or less in Europe, anything else? And possibly also your company's brand-specific initiatives you're implementing in Americas. And the second question on the OpEx. In the first half, they were very well contained both on the G&A and selling costs. So I was wondering if there's any timing that we should be keeping in mind? Or anything else why they were so well contained.
Roberto Eggs: Good evening, Chiara. Regarding U.S., the performance was mainly driven for us by the D2C channel. The performance of the wholesale channel was positive, but much less than the D2C. So is probably linked to also part of the transformation that we have initiated, as you know, regarding our hybrid system with Nordstrom, but also ongoing soft corners that we have been putting in place also with the other partners with Saks Global also a better fluidity in the deliveries, thanks to the agreement that we have reached with Saks that has been helping as well as the performance on the online Saks and the performance of the -- our store on the 5th Avenue. So to tell you that if this was driven by an anticipation of buying links to the tariffs, honestly, I cannot tell you. But we have seen price the region where we have seen the best traffic and conversion within our network in -- during the Q2.
Luciano Santel: And about your second question, of course, cost control is part of our strategy Chiara. And so as we see that business trend is not great. We tend to adjust as much as we can our infrastructure expenses. Of course, you may see that selling are higher than last year because we include in selling the cost to operate the store size. So it is a component of fixed cost in the stores, so that is very difficult to decrease. On G&A, I think, I mean, we did good, decent job. But of course, it is still something that we have to continue to control very carefully. But I mean, nothing special and nothing special to highlight.
Gino Fisanotti: Gino here. One thing to add to Roberto's answer on top, I think you mentioned if there was any specific initiatives. And I think -- if you take a look on the -- especially on the first half, there was multiple things that were U.S. oriented on top of what we have done at the retail level, which is the pre-spring/summer campaign was a New York-based story. We have the Met Gala. We have Donald Glover or just launched in L.A., and we have some other things. So again, was some intentions to go there. Of course, I will keep building on Roberto's answer. But when he's talking about initiatives, we have having some specific actions related to -- mainly to New York and some things in L.A. But again, just to answer that back to you, but I will keep that on the back of what Roberto just mentioned to you.
Chiara Battistini: Absolutely. So you saw a return on those investments specific to the U.S.
Gino Fisanotti: I will go back to what Roberto said. Again, it's hard to say what you asked us specifically, there were some initiatives? The answer is yes, and that's why I was naming a few. But I think, again, for us, again, to what Roberto said, we cannot apply this to people buying before or prices or things like that. Of course, we -- the U.S. market is something that we are putting certain efforts. So I think the combination of different things is what making the brand -- the results we're seeing. But I will say I wanted to answer back to your question, but I will build -- was more building on Roberto's initial answer.
Operator: Next question is from Oriana Cardani, Intesa Sanpaolo.
Oriana Cardani: The first one is about current rate. Can you give us an update on the July retail performance with some details on what's happening for each nationality? And the second question concerns the evolution of the gross margin. Do you expect gross margin expansion in the second half of the year to be more or less similar to that of the first quarter -- or the first half.
Roberto Eggs: Good evening Oriana. I think on the current trading, I will be quite short. The -- what we see currently, it's a trend that is still weak. You need to bear in mind that Q2 and Q3 are the quarters that are the most exposed to tourism, especially for Europe, for Japan and to a lesser extent, also to Hong Kong and to Korea. So clearly, this is 1 of the things that we need to bear in mind. We need to bear in mind also that the situation remains quite volatile. So we see differences in traffic from day-to-day and from week to week. And also the fact that when you look at our global performance, bear in mind that in this case, the mix has been playing in our favor in a lot of case, but in this case, maybe a little bit less. You know that we have a larger -- a good weight of our business is in Europe. And Japan is also a relevant area for us. And these are areas that are today very dependent on tourism. So this is clearly also something that is paying a little bit against the strength of Moncler in those regions, while we continue to perform in China, and you have seen the result in Q2 of the Americas.
Luciano Santel: Okay. We have a second question about the gross margin. Gross margin, as you know, gross margin growth is normally in this first half of the year. But also historically, the growth is totally mostly driven by the channel mix. And this has been the case in this period in the quarter today. And as we expect the D2C business to grow more then there was a business in the second half of the year, we do expect potential and expected gross margin growth also for the year-end. How much, is something I can't answer because I don't know. But this is the mechanic of our business model. But again, a channel mix is the real driver. Of course, in the past, the increase of gross margin was much higher because the expansion of the D2C business was much more important right now with the 85% and more of the D2C business, of course, the increase is more -- is more moderate, but still is totally due to this effect.
Operator: Next question is from Susy Tibaldi UBS.
Susy Tibaldi: So 2 questions. The first one, can you give us an update on your store opening plans, not just this year but also next year. And if the industry trends remain softer is this something that you would also be revising. And then secondly, for -- if we think about the profitability for full year, I know Luciano, you always talk about protecting -- trying to protect the 29% EBIT margin. Of course, we are in a situation with a negative like-for-like, which you haven't really experienced too much in the past. So -- are there -- is this still a level -- is still the aim to protect this level? And if so, what are the levers that you can work on? Because obviously, your selling costs are also going up. So Interesting to hear your view on profitability for the full year.
Roberto Eggs: Susy. I'll take the first question regarding the store opening plan. As you know, we give as a reference always these number of projects that we have that are usually around 13 to 15 projects. We have also more and more like the example I was giving on Westfield, sometimes relocation expansion also is what we have had in South Coast Plaza. So this is being more and more relevant role also to realign some of the also that we have to the new product offer that we have the largest presence of some new categories like the [ Met ]so we need to have more space to expose those products. So the plan for 2025 is not going to change. It's in place. As usual, we have more or less 2/3, 60% of our openings that are taking place between, let's say, August and December, we always like to start with a presence of the fall/winter that is richer to try to attract for the first time in new customer into our stores. So for the plan 2025 is already there. Regarding 2026, the plan is not completely finalized, so we have some flexibility in terms of also in case things will not get better to postpone some of the openings. But for the moment, we are working on a plan that is similar to the one we have had in this past year. So this is the driver. We are going to address it when finalizing our budget 2026, so usually around the month of October, November will get a much clearer visibility. But the plan is still there. The main openings is going to be, and we remain convinced that this is a good thing to do for the brand and the presence in U.S. of our stores in New York that should be opening in Q1 2026. So this is the plan. Obviously, we always have the flexibility to adjust it more towards the end of the year depending on the situation.
Luciano Santel: Susy, about the profitability in your statement is correct. Of course, as we said several times in the past, in order to maintain or to protect the same operating profitability, and we need to report mid-single-digit positive comp. Of course, the question is correct question considering that at the end of June, we report a minus 4% comp -- difficult to predict what the second half of the year will be, of course, I mean, we are -- we don't know. We don't know what it will be. I just to remind you that last year third quarter was negative for our business, but then Q4 was a fairly, fairly positive. So difficult to predict and to elaborate what maybe the second half of the year. However, of course, should the negative comp continue. Of course, this will have an impact on our profitability. Of course, you can believe that we are putting in place all the actions we can to take strictly under control our expenses. But honestly, we are not obsessed with the 29%, 30% EBIT. That, of course, is our ambition is something we aim to achieve -- but again, we will do whatever is possible to protect, let me say, healthy profitability, but difficult now to say how much maybe because, again, we don't know anything about the next 6 months.
Operator: Next question is from Thomas Chauvet, Citi.
Thomas Vincent Chauvet: My first question on Moncler brand DTC, which was down 1% in Q2 that suggests around mid-single-digit LFL decline maybe a little bit more than that. Could you comment on the LFL drivers, particularly pricing mix and volumes and whether you saw some growth differences by price points is knitwear or footwear becoming a bit more resilient in this environment due to the affordable price points, which category are typically more exposed also to tourism, given you had a big tourist shift away from Japan and Europe. And secondly, on Grenoble, you hosted a spectacular show in Courchevel last March. What are the key Grenoble initiatives you have to capitalize on this momentum for a successful autumn/winter season. And could you just update us what's the share of Grenoble as of H1? And as you're getting scale is it becoming a nicely profitable business now? Or is there just no major gross margin difference with the other collections? Is there any specificity now on Grenoble given the scale advantage you're getting.
Roberto Eggs: I'll start the answer if you want then to give some additional information, Luciano. Thomas, good evening on the effect of the price mix volumes that we have seen during the quarter, as you know, we don't comment comp sales by quarter. But you can bear in mind that in terms of space contribution, we gave guidance for the year that is between 4% to 5%. So this usually, you have a little bit bigger effect in second half than the first one, but bear this in mind as an indication, pricing also this year will increase mid-single- digit the pricing. We are going to be probably more conservative for 2026. It's still to be seen with the evolution of the currencies, but probably a lower level for 2026. In terms of mix, we have seen some slight positive elements linked to the fact that our high clients. The higher spend they have shown a better resilience. So there is a very small mix effect. And as you can guess, linked to the comp sales that we announced for the first half of the year, the minus 4%, we have had the impact on the volumes. Basically, what we see is with a few exceptions is decreasing, if I took also of some of the metrics that we have in the retail and that obviously, we are monitoring is a decrease in the traffic. We recover part of this decrease in traffic with a better conversion, and we have usually this positive impact linked with the price increase. I was just talking about before. The metrics outside of the traffic, and this is both for Moncler, Stone Island are positive. So this give us confidence on the fact that we have the right product, and this is well accepted by the consumer. We have a more qualified, let's say, traffic in our stores. But there is clearly -- and I think this macroeconomical environment that is influencing both a decrease in the tourism, but also a decrease in the traffic overall.
Gino Fisanotti: Thomas, Gino here. So regarding Grenoble, I think a few things. I think you mentioned, of course, what happened in March in Courchevel, what I can share with you is definitely Grenoble is our fastest-growing dimension of the brand right now. Of course, on the back of what we did in March, of course, I just mentioned at the very beginning, the second delivery on spring/summer that is the first time that we have two deliveries coming spring/summer. And then, of course, full winter is a very important season for us. We have multiple deliveries, including the part of the show we did in Courchevel coming in December, and of course, the marketing campaign that comes with that. And then, of course, this will be the buildup and the runway to a very special spring/summer '26 as well for Grenoble. So that's where I can share a bit of what's coming on the back of what you have seen in March.
Operator: Next question is from Luca Solca, Bernstein.
Luca Giuseppe Solca: Sanford C. Bernstein & Co., LLC., Research Division Yes. My first question is about pricing and assortment. Do you feel that you currently have the right setup when it comes to the price pyramid for Moncler primarily. We've seen some of the brands in the sub luxury space [ Saba ] from having increased prices too much. I seem to understand that for '26, you're thinking about increasing prices less than you did this year. Do you have the right entry price product -- do you think you have the right tools in a way to continue to attract consumers and that base volume setback is merely connected to external factors to the broader macroeconomic picture. My second question is about the peak trading season looking forward. This year, I understand you're not going to have the Genius event. I wonder what you have on your schedule to try and offset the very significantly positive impact that the Genius event in Shanghai had last year into, again, sustained performance in the all important big trading season.
Roberto Eggs: Luca, it's Roberto speaking. On the pricing as you know, because we are very familiar with the brand. You know that we have been increasing prices over these past 3 years to a much lesser extent than the peers of the industry. The idea was always to protect our margin and just reflect the increase we have had in terms of raw material costs, production cost and logistics that was reflected in the end consumer price. Clearly, the pricing today for consumer is a concern. I think we need to pay even more attention on this. I think we have had the chance over this past 5 years to develop a credibility on the network that has been something that has become a new access to the brand before having most of the client entering for the need, we are upgrading themselves into the outerwear. So we have maintained an access price with an interesting offer that has all the codes of Moncler being the material we use and the fact that we are using down. So and the fact also that probably need today is even more of a transitional product, and this is also another factor that is helping. So we have always been paying specific attention and we know how difficult it is to develop a very interesting attractive over at the entry price level, but this is one of the obsession of Mr. Ruffini, one is looking at the collection is always challenging the designer, the team to develop an interesting access. Now this being said, I think that we have, as a brand, a tremendous potential to go up also in the assortment on the most sophisticated part of the assortment, what we call internally the Edit collection that is part of the main collection that has been together with what Gino was saying on Grenoble, the part of the collection that has had the largest success in this past couple of years. So this is encouraging us to continue to develop that part of the collection.
Gino Fisanotti: Luca, Gino here, good to hear from you. I think, again, I will probably repeat a bit what Roberto said, I think there's two aspects of your question. One was more regarding the assortment. I think Roberto mentioned knitwear. I will mention on top of knitwear a lot of the lightweight solution of our outerwear that have been proven being very, very successful for us as well. And of course, there's other classifications like [indiscernible] et cetera, that keeps growing. So definitely, if you look at how the assortment and the tools to use your word that we have been using, especially for the past 2 years, I would say, are very different from what we were 3 or 4 years ago. So that will keep progressing. I think in terms of pricing, I think a bit of what Roberto said, I think there's almost 2 parts of that conversation. One is the important aspect of protecting the entry price. I think Roberto mentioned how important is for us. Again, we know many times that we are the access point even to some customers into luxury. So that's why for us it's very important. On the other side, I think for us is to continue our pushing for product elevation and better product. And when we talk about the product normally people talk about -- just about quality. But I think now with Grenoble in the mix and few other things, I think there is not only quality, but it's about performance, it's about innovation and it's about pushing credit concepts. That is something that I have been making Moncler, Moncler over the years. So that's just around the answer between Roberto and myself regarding pricing and assortment. Regarding your second comment, Luca, on the second half. Of course, as always, I would love to share more, but I'm not able, but we are very, very confident on what we have in our hands or the tools we have in our hand for second half. Of course, we have -- I mentioned just now, of course, we have a strong Grenoble season coming our way. I think we have something that hopefully we'll be able to disclose later that we strongly believe very connected to the brand and very connected to our core business. And then if you are a bit patient very early next week, we will announce something regarding an event within the next few months. So again, with all that in hand without saying much, Luca, I want to share with you the confidence that we strongly believe we have the right tools to keep building on the brand and building that demand that we all want to have.
Operator: Next question is from Louise Singlehurst, Goldman Sachs.
Louise Susan Singlehurst: Just two small ones for me, please. Just on the -- going back to the cluster comment with the European being flattish. So presumably, just trying to think about the weighting of the tourism versus the domestic in Q2 in the region. You're looking at kind of 1/3, 2/3, I guess, or kind of 60%, 40%. I think, Roberto, you're talking about Q3, just to be mindful of the tourism element. Is Q2 the biggest quarter in terms of tourist weighting. I'm just trying to think about the impact going into the next quarter. And then on any -- my second question, just on any inventory for spring summer that's not sold. If you could just talk to us about how much is carryover or how that exits, obviously, it shouldn't be hugely significant, but in terms of just understanding marrying with that gross margin comment too.
Roberto Eggs: Louise, Roberto speaking. I take the first question regarding Europe and the touristic floor. Yes, we confirm Q2 and Q3 are usually the quarter with the highest dependence on the tourist, more than 50% of the sales in Europe, much less in Q4 that sees the quarter where the local are coming back basically they start already in September, sneaking into our stores, looking at the collection and then usually, they come back buying between October and December. We are used to have locals coming at the end of the year, and they usually can't -- not only onetime like the tourist, but they call 2 to 3 times to look at the collection before buying. So this is part of the usual way we work and we are less dependent on tourism. But between the second quarter and the third quarter, there is no material difference in terms of weight of tourists in Europe. And this has been the case with the exception, obviously, of the COVID time. This has always been the case. So these are the quarters where they are coming. They are discovering the collection in Europe and then buying either in Europe or back when they are home. And this tourist that has been mainly impacted the tourism coming from Korea, from China and from the Americas.
Luciano Santel: Louise, your second question about inventory. The inventory excess of inventory associated with the low sales of the second quarter, honestly, is not a big issue. It's not a material at all. And so nothing we are worried about. Something important to highlight because the total number of inventory we report the net working capital line shows an increase. That is not due to the increase of finished cost. But to an investment -- strategic investment we decided to make in some core, some strategic raw materials, where there is a quite important volatility and so for this reason, time by time, sometimes we decided to invest -- to invest for the following years. But again, very good raw materials, longer-term raw materials, but nothing we are worried about.
Operator: Next question is from Edouard Aubin, Morgan Stanley.
Edouard Aubin: So my first question, Roberto, on Stone Island. As you mentioned during the presentation, your DTC was up only 3% in Q2, which I think is the first time you printed a single-digit growth since you acquired the company. So what's your -- I know it's just one quarter, but what's your analysis of the situation in terms of the issue with the collection, the location where you recently opened. And also related to that, if you had some -- now some divergence in terms of profitability between retail and wholesale there at Stone Island. That's question #1. And then sorry, Luciano, to come back on the margin for the year. But 1 of thing your peers have flagged is the issue that FX could have on their margin for the full year. The Euro and the Romanian currency has also -- have appreciated versus the Yuan and the USD. So is that an issue for you? And just to follow up on the EBIT margin. I know it's totally hypothetical, but should you print a flat like-for-like for the year could you keep the margin between 29% and 30%. I know there are many different moving parts, but just curious about the sensitivity analysis on your margin.
Roberto Eggs: Edouard, thank you for the question on Stone Island I was expecting to have at least a couple of questions on Stone. We're happy to answer. We are happy about the momentum that we have with the Stone Island brand. We have seen the initiatives. I think the campaign we're running is also something that is working extremely well. The repositioning of the subcollection with Marina [indiscernible] with specific target audience is also starting to pay off. Yes, we have seen a sequential decrease in the D2C. But bear in mind that we are not benefiting at all this quarter from space contribution. We have been closing some of the stores, restructuring our distribution in Korea that is starting to deliver good results. I think we were probably over distributed in Korea. So we have a plan to we focus on key location and expanding the visibility of the brand, and we start seeing good results. Japan has also continued to perform, but to a lesser extent plan, we are a little bit less exposed than Moncler with Stone Island on tourism, even if this has been also part of the growing factor that we have seen in Japan, and the performance in Asia remains strong. Then we have an overweight of Europe, if we compare the D2C business of Moncler with the D2C business on Stone Island, the share of Europe is, let's say, a much larger share than in Moncler. So the slowdown that we've seen tourism in Europe has also been impacting partially the D2C performance of Stone Island, but what the reassuring factor that we have is that all the metrics we are measuring with apart from the negative traffic that we have seen in some of the regions, all the parameters that we see in terms of conversion, average selling price, units per transaction are going up, including the density, even if it's something that so far, we have not started to disclose, but it's going in the right direction and all these metrics are improving.
Luciano Santel: About your first question on the impact of FX on our operating margins as you know, as I think -- I'm sure you know, we have a hedging policy, very strict hedging policy that protects our margins from any volatility of FX. And this has been the case for 2025. So we don't expect any material impact coming from FX for this year. Next year is another story. For next year, of course, we have already implemented our price strategy and hedging activity for the first half of the year. The second half of the year, that is, of course, driven by the winter season of 2026 is still open will be defined together with Roberto over the next month. And I can tell you that it will not be an easy job because, of course, on one side to protect the [indiscernible] margin from the ratio of our currencies. And we need to increase prices. On the other hand, of course, we need to be very careful in the different markets, whether or not and to which extent we can increase the prices without impacting the demand. But I mean, this is part of our job, but next year, we'll be more critical than in the past. Talking about your second question, as you know, we said and we reiterate that in order to protect our 29%, 30% margin, we need a mid-single-digit like-for-like positive like-for-like. So I mean we run a lot of sensitivities and every day, but I mean to make the long story short, under the assumption of flat like-for-like, we see the impact on our profitability that I can't -- cannot quantify, but honestly, not particularly important. Still and healthy, as I said, in the profitability. But I mean any numbers would be totally inappropriate.
Operator: Next question is from Chris Gao, CLSA.
Chris Gao: Chris Gao from CLSA. I have 2,so first one, very quick one. How much of the tourist demand in Japan is from Chinese in first half of '25, please? Just would like to quickly confirm that. So also in terms of current trading, how should we assess the Chinese tourist demand and the U.S. tourist demand trend in third quarter? Just wondering if the third quarter-to-date trend is also similar versus that of 2Q? Or if there's any changes in trends of the tourist demand? So the second question is regarding the new consumer recruitment. So for China markets part of growth in 2Q and also Americans acceleration. Just wondering how much is from new consumers recruitment and also, I was wondering if there is any consumer profile shift for these new consumers recruited versus like during pandemic or in the previous up cycle.
Roberto Eggs: Thank you for your question. I don't know if I will be able to answer 2 because these are -- you are asking some of the details that we're usually not disclosing. Just one element maybe to give you better readability of the result of Japan that Japan before COVID add a share of roughly 10% tourism and 90% of a local business, even sometimes even 90% to 93%. Clearly, in this past couple of years, like most of the brands, we have seen tourist from Southeast Asia and tourists from China coming to Japan, it was the less expensive region in terms of brand -- in terms of product positioning, price positioning, but it was also a strong attraction of the country culturally. And I think that this is going to continue. So -- at the time we have had and we disclosed this between 5% to 7% price difference between the region. And this is, unfortunately, not there anymore. We are going to start rebuilding small price gap in case there is a resurgence of tourism willing to buy into Japan for the next fall/winter season. The share of tourism in Q1 was roughly 30% -- 25% to 30%. We don't disclose the share of the different nationalities for Japan. But bear in mind that it was between 25% to 30% compared to the 10% before COVID. So currently, much, much lower to be seen how this is going to evolve over time. On your second part of the question between new customer and existing customer. Clearly, what you do as a brand and as a retailer, when you start seeing that there is a decrease in the foot flow in the stores. You leverage the power that you have been developing in terms of connection with your existing customer. So clearly, all the opportunities that we have seen in terms of launch of Genius, also the launch of Grenoble all the different deliveries that we have with [indiscernible] are opportunities to leverage on the existing ones. So Clearly, this is the profile we have been activating and this is why we have seen -- we have shown resilience even if we don't like to see negative figures in the D2C, but this is what has been helping the performance in Q1 and Q2 is the fact that we have now a strong loyalty level of our customer and a great connection with our consumers.
Operator: Next question is from Charles-Louis Scotti, Kepler Cheuvreux.
Charles-Louis Scotti: My two questions. And the first one is a follow-up on volumes. I understand you have flexibility to adjust the production up and down. But I would be interested to understand your expectation for H2 production volumes. The visibility is obviously very low. But basically, what base case are you currently planning around? And the second question on the wholesale business. It seems that wholesaler difficulties are worsening, particularly in the U.S. in this context, do you confirm your guidance for a decline in wholesale revenue for both brands? Or could it be eventually revised onward.
Luciano Santel: Okay. Thank you for your question. About our production flexibility. You're right, we have some flexibility in production and that allows us to adjust our production in case the demand is stronger than what we originally planned. Of course, right now, the first indications are not in this duration, but we have opportunity to launch in production and make launches in production also in September and beginning of October. So it's something that we monitor, of course, on a weekly basis, and this is something I can't answer right now because, of course, we don't know anything about next week. But anyway, yes, you are right. I mean we tend to plan more prudently and then to react in season, the demand is higher than what we expect. So right now, we have still time to evaluate to monitor the trend and eventually to make additional launches in production in the following two months.
Roberto Eggs: Roberto speaking, let me take the answer on the question regarding wholesale, and I will like to answer for both Stone Island and for Moncler. For Moncler we stick to the [indiscernible] that was given at the beginning of the year, which is wholesale that should be medium, high single digits, so in line with the performance that we have had in 2024. And this is mainly due to a reduction outdoors that we are planning because not completely in line with the brand positioning that we have today. And also partially driven by the fact that we are pushing our B2C more and more. So we are also very careful in this moment of high uncertainty, not to over push on wholesale with the risk to see discounted product. And as you know, we don't discount for Moncler product in season. So we are very, very careful not pushing too much our wholesale partners and giving them the right amount of product to be able to have a healthy sell-through in their own business. Regarding Stone Island, situation is a little bit different. As you have seen, there have been a lot of differences in the result of wholesale when you compare Q1 and Q2, Q2 was a kind of catch-up of some late deliveries that we have had a little bit too late deliveries that we have had in the first quarter of the year regarding wholesale. We said at the beginning of the year that the way we're seeing the market was H1 that was probably not as good as the second half of the year. So we expect an improvement of the wholesale business that we have with Stone Island that is still a very significant part of the business. So we see an improvement of the performance towards the second half of the year in the second half of the year. So don't -- again, don't have a look at this performance per quarter, but more look more at the performance of Stone Island during the full H2, there should be an improvement versus H1.
Operator: Next question is from James Grzinic, Jefferies.
James Robert Grzinic: Actually, my questions were asked, but just I guess for the purpose of clarity, I ask a follow-up around pricing and price recovery. So just to be clear, you have not done anything incremental in recent weeks following either tariffs or FX dynamics. And in essence, you're looking to be doing less in pricing in '26 versus '25 despite the fact that the ask on gross margin are obviously greater next year compared to this year? Just to clarify that.
Luciano Santel: Okay. For 2025, we implemented a very, very light price increases for the second half of this year because the first half, of course, was not impacted at all. The second half only not a material way. But in any event, we increased slightly prices to offset the additional -- the additional tariffs the same we did for the first half of next year of 2026. As I said before, for the second half of the year for the full winter season of 2026. This is something that we have not decided and it is still under evaluation. We normally finalize our pricing strategy for the full year of 2026 by October more or less. And so it's still early. Of course, we will see we will monitor the FX trend and depending on which level will be the currencies we do business we will make a decision on no significant price increase this year and no significant in the first half of next year.
Operator: Next question is from Paola Carboni, Equitas.
Paola Carboni: Yes, I have two questions. The first one is about Genius and the evolution we might expect for this four months, let's say, if you can share with us any thought or at least the timing when we might be aware of any different approach, let's say, to the marketing for the Moncler brand. And the second instead on Stone Island, as you pointed out, you have mostly finalized your store opening plan for Moncler for 2026. I was wondering if you can share something as well for Stone Island for next year.
Gino Fisanotti: Thank you for the questions again. Unfortunately, on Genius, I would have to be very short because again, we will have to be patient. You will have to be with me at the right time will come and communicate. Of course, this is a very confidential project that moves other parts. So we are not able to share much more than that, but definitely, as always, every time we come back with Genius, there's an evolution to it. So the only thing I will ask on this one is to be a bit patient, but at the right time, we will be sharing this price.
Paola Carboni: Sorry, just to clarify, on the Genius point, what you were anticipating you're going to announce in the next few days is not going to be already the alternative to genius, let's say, I have understood it.
Gino Fisanotti: We will let you know. Be patient with me, but I promise that you will know next week for sure and then more as we move forward. Just -- unfortunately sometimes the timing of the call is not align with other things, and that's why we cannot disclose in advance something that we will -- we will put out there. So be patient.
Roberto Eggs: Roberto speaking, Paola. Regarding Stone Island, I don't know if your question was related to the retail network. But clearly, what we're going to do is continue the elevation of the current network. So don't expect again, for 2026 meaningful space contribution, there will be some openings, but very, very targeted and still an elevation of the current network with qualification, finding the right positioning in the network, especially in department store and working on the metrics regarding retail excellence to elevate all the components that have been making successful to replicate this within Stone Island.
Elena Mariani: Okay. Thank you very much to everyone for participating in this call. Let me just give you a quick reminder of the next release. Our Q3 2025 results will be released on October 28, after market close, and our quiet period will start on September 29. Thank you again. And for any follow-ups, feel free to contact myself or [ Gino ]any time. Thank you, and have a great evening. We wish you a wonderful rest of the week. Thank you.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.